Operator: Ladies and gentlemen, thank you for standing by. All participants are present in a listen-only mode. Welcome to today's conference call to discuss Nano Dimension's 2022 First Quarter Results.  On the call with us today are Yoav Stern, CEO; and Yael Sandler, CFO. Before we begin, may I remind our listeners that certain information provided on this call may contain forward-looking statements and the Safe Harbor statement outlined in today's earnings press release also pertains to this call. If you have not received a copy of the press release, please view it in the Investor Relations section of the company's website. Yoav will begin the call with a business update followed by a question-and-answer session, at which time Yael answer questions regarding the first quarter 2022 financial results. As a reminder, this conference is being recorded, May 31, 2022. I would now like to hand the call to Mr. Yoav Stern. Mr. Stern, would you like to begin?
Yoav Stern: Sure. Thank you very much. We changed a little bit the order. I will speak about the business and some numbers and then Yael will give a little bit of an input as well from her point of view about the numbers, and then we'll open it to Q&A and both of us will answer accordingly. So we're completing a successful quarter. The numbers speak for themselves. We have about $10.5 million, $10.4 million revenue. And we have -- if you look at the -- more importantly, the revenue in the last quarter was $7 million and change, I think $7.6 million, $7.5 million. And obviously, revenue in the same quarter a year ago was dramatically lower. So if you just look at the 2 -- last 2 quarters, and multiply it by 2, run rate, you'll find out where are we in this year, and we may even be higher, considering the fact that the first quarter traditionally is less strong quarter in this -- in any year, even though with situation specifically in Europe, there's a little bit of unknown. And we see this in our European revenue; if not that, our revenue would be higher than $10.4 million. So that's good news. I gave you some information -- we gave you some information that is beyond just the revenue, of course. We'll start by gross margin, which is 37%. I invite you to read the CEO Message which I wrote, in detail, what it’s consisting of. And it's important to note that because it actually consists of the typical or different assortment of businesses and technologies, we have the more advanced and disruptive technology, which is in the electronics is above 60% gross margin, which is great. And that's before doing value engineering to the machines and reducing the cost, which we originally tested, considered doing it a year ago in China and increased our gross margin by almost 20%. Obviously, we didn't do it luckily, but we can do it in the future, not only in China. So that's on the 60% side.  And then we have other assortment spread between 45% to 50% and interesting enough the portions that are 35% to 50% deliver beautiful dollars to the bottom line. So the combination by now is much more balanced business as it was 1.5 years ago and it's slowly maturing into a growth business. The -- as we grow and the product assortment and the sales would change, so will gross margin accordingly. And that's the reason why I also gave you EBITDA numbers which are net of certain depreciation of share-based payment, which is another, call it, data point that will indicate you how do we manage our profitability and how do we intend to take dollars to the bottom line. And in this case, it's important also to look at the cash side as well and also take into consideration that the share-based payments and depreciation and amortization is not necessarily a steady expense forever. As we do acquisitions, there's a little bit more of that. And eventually, if we don't and we stop, it will be less than those and goes down. And the last input, so EBITDA is $19.2 million, net of the noncash expenses. The other data point I gave is how much EBITDA without R&D because R&D is a major, major investment and mostly -- not only, but mostly in lithium manufacturing electronics, which is also delivering high gross margin, which is good. Without that, we would be already minus $7.5 million EBITDA. And if we look a little bit further ahead with growth, this will turn into profit. But it isn't going to happen.  And we really -- you have to look at our business as 2 arms. One arm is the most disruptive innovation and technology, which we intend to invest in R&D and continue to invest in this rate. And the other part of the business which we invest in R&D, but a bit less in ratio to revenue, in its growth with profitability. Where we aim is for this to merge -- and I wrote in the CEO Message what we expect in how long a time, and obviously, to merge and eventually deliver dollars to the EBITDA level and to the profit level. So we're in a very good position.  Another positive development for us, unfortunately, for others, is that the prices in the market are going down, all led by the public markets. It's always starting to affect the private markets and the amount of carefulness which -- within which we managed the cash over the last 1.5 years in spite of pressure to spend and buy, and buy bigger and bigger companies and why are we doing it? Our cash now is worth much more than [$1.3 million] in a way of saying because what we can buy with it is changing slowly to be dramatically more. And by now, we did so many searches and discussions and evaluations that we know what we're looking for and at what values we are rated by them. So we are hoping there will be a continuous trend in this direction, and it will enable us to buy within reasonable accounts and at reasonable price. And just to remind you, the last 2 acquisitions, which we bought, which was new technologies, we bought earlier in 2021. We bought around between less than 1x revenue, to a little bit more than 1x revenue. And then both companies were profitable, one of them with 10% EBITDA, the other 1 close to that. So we did pay the right price. Otherwise, we wouldn't have bought them, and of course, the technology synergies and business synergies with them. So that's on the acquisition side. Of course, the market going down affects our share as well. But since we don't intend to raise more money and we don't need to raise more money, then it is an effect that is more a psychological effect, obviously, on all of us including myself as a shareholder, we just recently bought in the open market and new. But we're not going to use this share price as we raise more money, we're just going to do the right thing on the business side, and we’re actually also in a process in court to get approval for shares buyback program, which we intend to implement as approved by the Board, and I announced about it. So that in order to affect our share price because we realize that by now people are buying with 1 share of the bank $3 of cash or almost that, just by buying a share for $3, which is pretty attractive I think.  So that's what I have to tell you. And as usual, I would -- I prefer, of course, to answer your questions because you direct me towards things that are more interesting to you. But before, Yael wants to say a few words, please.
Yael Sandler: Thank you, Yoav. So I would really like to just point out a few items in our financials. We continue to have a strong balance sheet with cash and deposits balance of $1.3 billion. And as Yoav mentioned, if you look at our profit and loss statement, you will clearly see that the expenses include the lack of depreciation and amortization as well as share-based payment expenses. This is why this quarter we added the EBITDA and adjusted EBITDA calculation and reconciliation with all the details, which you can see towards the end of the press release. So we basically adjusted almost $14 million of noncash expenses, and this is how we arrived to the adjusted EBITDA of $19.2 million.
Yoav Stern: Minus $19.2 million.
Yael Sandler: Yes, Yoav. We also added in this quarter the report on cash flow, we until today, didn't publish the statement of cash flow on a quarterly basis. So from this quarter, going forward, we will add it on a quarterly basis as well. So you will see our -- how we use the cash. So if you look at it, the net cash used in operations is minus $21.4 million, and you can also see in the net cash use in investing activity the acquisitions that we did in the third quarter. And if you have any questions regarding the financial, I will be happy to answer that.
Yoav Stern: Okay. Before we open up to question-and-answer, just -- thank you, Yael, for reminding me. Just reminding one thing. Many investors ask me, what is our cash burn rate? Obviously, wanting to know when and if we'll be under pressure of cash? And most of the numbers I gave them was based on our back purchasing plan, and I'm detailing it in my message to the shareholders. It was planned to be $110 million to $120 million this year. We had a rate of around $80 million. Our cash burn is around $20 million, $21 million per quarter. Does it make me happy? Well, it's a nice feeling to burn less cash and to squeeze down on expenses in spite of supposedly being with a lot of cash on the balance sheet. But actually, I would have been happier if I could spend more, mostly on hiring engineers on data science, deep science and software and also sales people mostly in North America, which are very difficult to hire because of the prices going up, high employment rates. And frankly, in Israel the millennial generation and the Z Generation are living with different life principles, so much as career. So somebody wants to tell me there's no more career in high tech, there's only what do they offer you today. And if tomorrow, they offer something else, then you go. So we have some difficulties, but we insist on not compromising on quality, which means we will hire slower but only high-quality people because we believe at the end of the day, even if we are a bit late in hiring the quality people that are in will close the gap in the development by being talented and team players and long-term team players. So that's as much as the cash burn, right, which is, if we multiply this quarter, it's $80 million a year.  I'll stop now and refer to you, operator, please, for questions and answers.
Operator: [Operator Instructions] The first question is from William Reckamp of Intrinsic Edge. The question is from [James Straumheim].
Unidentified Analyst: This is [James Straumheim], I'm a shareholder. In light of the problems of hiring qualified engineers and scientists that you mentioned in the press release, I was wondering is the release later this year of the Dragonfly with the deep learning incorporated in it and '23 release of the next gen machine still look realistic or…?
Yoav Stern : We didn't change our release date, plus the DragonFly IV never was intended to have artificial intelligence and DeepCube. It’s the next-generation product that will have it, and right now, it's on time.
Unidentified Analyst: Okay. So there's nothing scheduled for more -- for a release in 2022?
Yoav Stern : No. The release, the next -- there being releases of DragonFly IV versions, but the next product is early 2023.
Unidentified Analyst: All right. And the other question I had, several phone calls ago, you mentioned some purchasers of the DragonFly were using it to do small batch production runs. I was wondering, in light of the turmoil in Asia, the likelihood of electronic components being cut off and the prices skyrocketing, do you think any manufacturers would look at buying several of your machines?
Yoav Stern : The skyrocketing is because of turmoil and you are right about is of semiconductors and chips mostly, not of other products. And we do not manufacture and we do not prototype, and we do not print semiconductors. We print electronic devices that starts from silicon, up outwards, which means packaging and especially specialized 3 dimensional print and circuit boards. So we are not in the business of manufacturing semiconductors.
Operator: The next question is from [Jovan Berman].
Unidentified Analyst: I'm concerned about DeepCube. And I would like to know if you have -- if you have any other customers except Nano Dimension?
Yoav Stern : No, I never mentioned it. We bought the company just for the technology, not for -- to use the product to sell to other people.
Unidentified Analyst: Aren’t you saying, you’re missing the opportunity? 
Yoav Stern : Never intended to. It was, going to use their product in all our machines and in all the machines in the companies that we're purchasing to improve their machines.
Operator: The next question is from [James Vihstadt].
Unidentified Analyst: You indicated that you're going to repurchase $100 million of shares. Have a number of these shares been purchased yet?
Yoav Stern : First of all, I didn't indicate that we'll purchase $100 million. I indicated that we're going to implement the program to purchase up to $100 million and within the next year. And the answer is no. The purchase plan was not approved yet. According to Israeli corporate law, it has to be approved by court. The application to the court was filed. It's more of a formal process where the court is in charge of making sure that the company is not buying its shares where it doesn't have enough resources to withstand its other obligations to its suppliers, et cetera, et cetera. In our case, of course, it's obviously not an issue. We have enough cash and a very small amount of liabilities. So once the court will approve it, the program will be in place and then we will decide when and what to buy.
Operator: The next question is from Byron Meo of 1031 Private Exchange Group.
Byron Meo : It seems like the forecast call for maybe a further potential slowdown. And with the inflation in Europe -- or Ukraine, the problem with Ukraine and it's causing a sort of worldwide inflation. And I'm kind of wondering on the cycles of how this -- how your product works -- it seems like the demand will be there. The questions will get pushed out. And how this affects your business? Will there be more of a delay in purchasing or are people then to continue their spending path regardless? Can you kind of give an idea of demand?
Yoav Stern : Yes. In the area of printing machines, electronic additive manufacturing printing that the DragonFly IV, we don't see any slowdown. Actually, our revenue there is growing compared to last year by order of magnitude almost, at least in the pace of growing. And we see the growth more in United States, remind you, than in Europe. But on this area, I cannot tell you if it's because of what's happening in Ukraine.  From the other side, part that we are selling very, very sophisticated mounting machines, surface mounting technology for assembly of PCBs, there's a very, very clear slowdown, especially in the companies in Eastern Europe. It comes from 2 main reasons, which are pretty obvious: one, the slowdown in supply chain of semiconductors, which is the material that's being used for the assembly. And if they can get the raw material for assembly, the semiconductors, then they’re holding back buying the assembly machines, which we have. It's a holdback. I don't think it's -- they're not going to buy, it's just going to postpone it until they have to. Secondly, the events in Ukraine obviously put European under anything between a stress and mild heart attack. And we see in the side of Poland and Ukraine, obviously -- in all the Eastern Europe countries basically held back and revenue went to with customers that are there. And on the Western side, companies are realizing they're now going to divert a lot of activities to the defense community locally because the defense budgets are growing.  And while all this is happening -- it's kind of a slowdown because what I believe will be an acceleration, because they have to approve the budget, the government has to go through the process. So everybody is waiting for the budget, the sales budget. So there is a little bit of slowdown in Western Europe, but not dramatic.  In every other aspects of the rest of our business, we don't see a slowdown and definitely not in United States.
Byron Meo : Okay. Then the second part I have is just the overall commentary, and that is, I think if we can use this downturn and worldwide sort of slowdown to look to intensify your efforts to buy companies that are near give up or have to -- that sort of flow in your policy in your guidelines of what will enhance our business and revenue flow, this seems to be a major opportunity that can turn a negative into a positive over the 3 to 5 year period.
Yoav Stern : You're absolutely right, totally right. And we're expanding, as we speak, our effort in this field. We're going back to companies that were too expensive before. We're coming -- we're going 2 companies that we see that became less expensive, some of them private, some of them public and you're totally right.
Operator: The next question is from [Peter Jones] of ARPC.
Unidentified Analyst: I think a big thing that is on a lot of people's minds is you raised $250 million at $9.50 and $500 million at $12.80. So investors like me are down 80% right now. And I know that's the macro situation, that's not all on you. But also, we were given the impression that you were going to use that capital and not be 1.5 year later sitting on it, where we were going to be buying companies and generating $100 million to $115 million in revenues. So now our concern is, how are we going to even get our money back and breakeven? We are down so much. So is selling the company $10 per share on the table, is merging with a big company who can actually take the technology to the next level or in even taking the company private? I mean, we're -- everyone is down huge in this, and this is the elephant in the room. How do we get back to....
Yoav Stern : So what is your question?
Unidentified Analyst: How do we get back to where we were? We're way too undervalued, way too undervalued, it's kind of embarrassing right now.
Yoav Stern : I'm not going to relate to your embarrassment. But do you want me to relate to your question?
Unidentified Analyst: Yes, sir. You are the leader. So lead us. We want our money back. Be the leader and let's...
Yoav Stern : I'm not in the business of giving you money back. I'm in the business of increasing the value of the company, which will cause the shares -- excuse me you want me to answer or you want to give a lecture? Okay, I'm answering now. I'm not in the business of giving you the money back. I am in the business of increasing the value of the company, causing as a result, the shares to go up. And as the share goes up, you will either buy more or sell or do whatever you like that's up to you, point number one. Point number two -- and I'm focusing on doing that. Point number two, I invested where you invested and I'm down as well. So I'm on your side, I am a shareholder. Point number three, you are very lucky as a shareholder that I did not spend your money over the last 1.5 years. When companies like Desktop Metal as an example, and 300, 400 companies in this field -- we created 3 companies for $10 billion together, three of them together traded at 1.3.  So if I would have done any transaction in this field in the last 1.5 years, you would be now not in a share at $3 when there's a cash under it of 5.5. You'll be at the share of $3 with a cash under it would be half, 1.5. So you should be very grateful that I did not spend the money and I'm ready to spend it now subject to the prices continue to being down and being attractive and enabling to create return on investment. Because the only thing that will cause the share to go up is buying the companies, increasing value, delivering dollars to the bottom line, and hence, the multiple take it up to the dollar value of the share and the value goes up. The last thing, you asked 2 questions, and the 2 answers for the 2 questions are no and no.
Unidentified Analyst: Okay, look, but if the technology is so great, why can't you sell machines? Why isn't GE or someone else doing a hostile takeover to take over this company with $1.3 billion in cash and with this technology?
Yoav Stern : You asking me the question now? Or are you giving a comment.
Unidentified Analyst: Yes.
Yoav Stern : Okay. You want me to answer? Okay. So I cannot answer you in the name GE but I can tell you that in the last -- 2020, we sold $4 million of machines. And in this year, we're on the rate of 40. Do you have any complaint about that?
Unidentified Analyst: Do you remember I told -- when the stock was $12, you said 3x return at $12, do you remember when the stock was $9.50, you said down….
Yoav Stern : Yes, I'm answering -- no, I don't know. I'm answering 1 question at a time. You asked me why wouldn't GE buy the company? I said you should speak with GE. You asked me why we're not selling more machines? You are totally wrong. I spoke about it earlier today. We sell a lot more machines. And the numbers, please look at the release, it’s $10.5 million a quarter. 4 quarters ago, it was $2 million a quarter. So please update yourself on the numbers and the answer we are selling more machines.
Unidentified Analyst: Okay. Where's the results with L3Harris, it's been over 1.5 years, the space…?
Yoav Stern : We don't disclose things that we're under NDA.
Unidentified Analyst: Okay. Okay. All right. Just now that there's a lot of frustration out there, we gave you a lot of money and everyone is down huge.
Yoav Stern : You didn't give me any money.
Unidentified Analyst: Shareholders gave you $1.5 billion.
Yoav Stern : I don't want to hear about you giving you money. You want to meet in a downtown New York and give you money, we can say at that time. You didn't give me any money. You invested in the company.
Unidentified Analyst: Yes. Yes. And we lost 80% of our money and we're praying to get our money back.
Yoav Stern : Did you sell your shares?
Unidentified Analyst: No. But how many years is it going to take….
Yoav Stern : Just a minute. Did you sell your shares?
Unidentified Analyst: No.
Yoav Stern : So you didn't lose. So you didn't lose. When you will sell, you will lose. And I suggest to you not to sell and to buy because the way we are going, if you listen to the data, is brightly forward and upward.
Unidentified Analyst: Okay. Well, hopefully, a year from now, it will get back to 10, so we can get even from the $1.5 billion in cash that you raised.
Yoav Stern : I'm sure you will not comment, and I'm sure.
Operator: The next question is from [Bob Belmer].
Unidentified Analyst: Yes, so, this is [Bob Belmer]. I am just another regular investor. I have been an investor for 2 or 3 years. I have 1 question for Yoav, CEO. Do you have any connections as a company with China or Russia?
Yoav Stern : No.
Operator: The next question is from [Andrew Kegel].
Unidentified Analyst: Yes, my question was about the hiring of engineers. It's 1 of the things that you guys look through when you're looking at acquiring the company. Is it like basically being able to approach a bunch of engineers from them? Is it...
Yoav Stern : Absolutely, yes. This is one of the key -- thank you for asking the question. It is one of the key, call it, items in due diligence. And I can tell you that the first 2 companies that we acquired originally DeepCube and Fabrica was mainly because of this factor because I was going to start artificial intelligence and deep learning group within the company. I am very familiar with the subject because I've been in trials, I have degree in mathematics and computer science. And I found out after I tried there's 5, 6 groups like this that are leading around the world, and there's no way I can put together a group and DeepCube was one of them. Fabrica in a very similar way in a different field. So you're absolutely right. And the answer is yes. And I can tell you that if we will complete other transactions we are working right now, it will always be -- sorry, it will also be mainly not only because of the business and the product, but because of the personnel. All the personnel of the companies we acquired until now have joined our company, all of them. By now, maybe we had 1 or 2 left out of 200, close to 200. Maybe we had 1 or 2 left, I wouldn't remember, probably not, but maximum 1 or 2. All of them are with us, all of them are shareholders, all of them get not a huge amount of money of shares but shares. And you pointed a very important aspect of the acquisitions.
Unidentified Analyst: Excellent. I just want to make sure we’re on the same page on that. I'm a shareholder as well, and I have a completely opposite perspective of what you're doing when a company gets parabolic, that's when the company's President, like you, who's supposed to raise the money, it's not your job to protect the investors. Your job is to grow the company, and I appreciate that you got out of the top, basically, and now you're buying low. That's all we can ask per as investors. Thank you.
Yoav Stern : Thank you so much. I just want to add 1 more thing for the previous question about connection with China and Russia. The answer is no. But we do -- we did sell machines to a couple of universities, if I remember right, in Russia, in China a while ago, maybe 1 machine in Russia, but a while ago. But I can tell you that since the Ukraine -- it was very small. Again, selling to distributors and not even directly, just selling machines and once the Ukraine war started, based on not having to do it legally, but I -- my own decision, I said to all our divisions to stop doing business with Russia. And to the point that we have customers there that needed support and the customers are not at fault, but I refused to be paid for that. So a couple of customers that one with the 1 with the machines we gave them support without being paid. I don't want to be doing business until this thing resolves there. So that's for the question before, sorry. Next question please.
Operator: There's a follow-up question from Byron Meo. 
Byron Meo : Yes. Considering that the couple of calls ago -- questions ago, most of the stocks in the microcap world are down 70%, 80%, 90%, and you can't operate even thinking like that. You need to have cash because you have to brace yourself. If this becomes a severe economic downturn, you might even have to slow down the R&D expansion until we can kind of see the other side. But you're going to have to brace for a battle for the long term. But if you've got an area that has huge growth potential and like I said, you can acquire companies that are bailing out. That's where the upside is going to be in. It's going to take time. Desktop Metal had to go back to the market and raised $150 million, should dilute their stock tremendously at $1, $2, $3 or whatever, when it's down 90%, and you're not in that position. And so I think you really have to stick to the gun and be real consistent and be careful not to burn too much, but to enhance the revenue growth enough to where you get the economies of scale.
Yoav Stern : I agree. And thank you for the support. And when I notice, by the way, that we spend just less cash than we intended to from one side, I say, "Hey, we're going to be late on some things." But on the other side, it hits straight in this quarter and I say, “You know what, better be slow and while we have 12 years if we want to or more spend at average $80 million a year. I don't intend to do it. The idea is to increase the revenue and to deliver dollars to the bottom line. And bottom line is positive cash flow. I once had business with a very, very famous venture capitalist in New York, I don't want to say his name, by now he is 85. In my early days, I went into his office and on his couch was a pillow. On the pillow it said happiness is positive cash flow. That's my model.
Operator: The next question is from [Aamir Ansari].
Unidentified Analyst: So I'm talking from Australia. I'm a private investor and a shareholder. I believe what we're missing is a consultancy business. So you need to come up with reference designs that are used in specific industries. For example, proprietary trading, these guys make a lot of money by FPGAs that works in close connection with network cards and then process data very quickly. So you need to come up with reference designs and say, "Hey, look, we know your business needs this, we can provide you reference designs, and we can give you the machines to make the cards that you need because these proprietary trading form, they don't have the technology today to make up their own PCBs.”
Yoav Stern : Are you -- we just open it up? Are you available to work with us in Australia, sir? You are so right on. It's not even funny. I mean you hit the nail in the head on the issue of selling disruptive technology. You have to start with the design. You have to start from the application. We have built over the last 7 months a group of 22 application engineers, which are doing exactly what you're describing. We do not sell any more to salespeople. Application engineers are going to the customers and analyze -- first of all, we're inventing applications based on knowledge of the market. And secondly, we are listening to the customers. And we're starting with the design and solving issues through applications. And you couldn't be more right on an issue that is so internally deep in the concept of how you go to market, that it's quite surprising how bright observation it is. Congratulations to you.
Unidentified Analyst: Thank you. And 1 more thing is, we've got an Australian company named Altium. These are PCB design software makers. I don't know if you've got the cash today to buy them. But if you want to raise cash to buy these guys or at least have controlling shares in them, I would be happy to you though.
Yoav Stern : Please connect me -- please connect with Yael offline, we have a lot of cash. We don't need to go for cash. And if you can connect to the regular network with Yael, she referring to me, and I will work with you that.
Operator: There are no further questions at this time. Mr. Stern, would you like to make your concluding statement?
Yoav Stern : Yes. I'll just give it a minute or 2 to maybe people kind of get a last stop, and they want to squeeze it in. I don't want to close this call underphased. So let's wait 60 seconds. I see that the participants slowly going down. So probably the end of the questions, but give it another half a minute. Oh here's a gentleman, actually 2 gentlemen actually.
Operator: Our next question is from William Reckamp of Intrinsic Edge Capital Management. Please go ahead. There is a follow-up question from [Andrew Kegel].
Unidentified Analyst: I wanted to follow up and ask you about when you have $1.3 billion of cash, obviously, you can take that money and make interest work at some point I’d imagine. Do you guys have like a way to -- I mean there is a large -- it continues. I mean, you could probably pay for your company expense somehow making interest out of that money in the meantime while you're doing your shopping. But you guys have some kind of like a plan to get as much value as possible out of that?
Yoav Stern : Yes. We have -- and I'll let Yael in a second, tell you the details, but we have a special cash management committee, which is meeting, I think, twice a week, but I'll let Yael describe exactly how we're doing it. We are leveraging, we are hedging. We know we have expense in euros, we have expense in shekel in Israel for salaries, we expense of course in dollars. And we’re, of course, now enjoying the interest rate went up from 1% to 3.5%. But yes, please give the gentleman a description, if you will.
Yael Sandler : So basically, we are monitoring our cash and investment policy really closely, especially now with a crazy interest rate going up. We don't invest the money in any securities other than obviously the companies that we acquired during the M&A, but we don't invest in any other portfolio companies. So we are mostly using low-risk instruments like deposits and money market accounts, and we are enjoying currently the increased rates across the board. And with respect to different currencies, then we have -- we are holding the cash in multiple currencies based on our expenses in order to lose -- to not lose money on exchange rate differences. And I can tell you that in the first quarter, we had it in the finance income that you can see in the profit and loss statement, but we had about $1.5 million of income from interest only.
Yoav Stern : In the quarter.
Yael Sandler : In the quarter, yes.
Unidentified Analyst: I don't want to like try to catch you guys off guard or anything like that. So I don't know what's your opinion on this is at all, but obviously, cryptocurrency is a brand-new kind of development that you could make interest on. Not looking as an investor, there's like ridiculous amounts of interest that you can make with slightly higher degrees of risk. But do you guys have any opinion on cryptocurrency? Is that something that -- I mean, I don't know if that’s legal for you guys like try to make money off something like that. But is it -- do you guys have a plan or anything when you have high interest that you can earn on that? Is this something that your company is willing to or legally able to consider?
Yoav Stern : Legally, yes. But let me tell you my point of view about that. I feel very modest and humble when people invest in our company. And notwithstanding certain people like before was in the frustration and which I share and I understand why, but sometimes it takes them to be in the wrong place and totally ruling to a judgment, but I still don't lose the respect for them. Part of this respect is the respect to know that if they wanted to invest in cryptocurrencies or any other risk, in return -- other risk/return curves, they don't need to invest in Nano Dimension. They may think, and they are probably right that they can make a decision themselves to invest directly in cryptocurrencies.  So when I received the money a year ago for certain use of proceeds, I'm totally committed to that and I can't afford to take a risk not because I don't want to make more return, I would do. But if I will lose instead of making more return, for instance, I will get the interest on crypto, but the crypto also lost value, it's something like bonds, then how would I go back in front of you guys and say, "I'm sorry, I lost the $250 million of the principal because the market went south and I didn't realize it." So I can't afford it, I am too modest to do it. Some other people in the market have done it and were very successful, good for them. My intention is and my direction directed to both the Board and board is online with me on that totally is to be conservative to invest with minimal risk of losing principal and maximizing the return by either investing in the right currencies, not because we trade currencies. It’s because if we invest in the currency, even if it goes down, and we need to spend salaries in this currency, we don't really lose because the salary is still the same salaries. So we can play very good here. Yes, so that’s how we do it.
Operator: The next question is from [Joseph Enstar].
Unidentified Analyst: Congratulations on all the progress that -- I'm a frustrated shareholder. I own a lot of shares. Obviously, I have a loss like a lot of other people, but I am patient. I love what you're doing. You seem to be spending the money prudently, waiting for the right opportunity, that's the way it should be. But why are we selling at 60% of cash? I know the stock market has been difficult. We should be at least 5 now. We should be selling it cash. I mean we're making a lot of progress. I think the future looks extremely bright. I also want to know doesn’t seem to be any analyst coverage of our company, which I think is silly.
Yoav Stern : No, it's not silly. It's more than that. We need it and you're absolutely right. I'm in discussions with analysts specific, probably the leading analyst that covers companies like us is actually on the line today and been on the line before. And we are hoping that he will pick us up. It's extremely important. We feel that whoever picks us up now within a few quarters, we will be industry leaders. So it will be a great attractive proposition for the analysts and this organization, and the bankers. And speaking with a couple of them. And you're totally right because that's what creates the exposure and the interest of institutions is increasing based on that. Right now, we have 2 low institutions holding [to my base], it's about 20-something percent, and I would like to bring it up to 45%-50% and I'm working on that. And the question on the frustration of why is it trading where it's trading, I did a very deep analysis. And I can tell you that our shares rated up and down totally unrelated to what the company is doing, and it's the best metaphor, if you wish that I can give you is when there's waves, especially a big wave like tsunami, you cannot fight the wave, you can just try to catch the wave and be in the right place to catch it. So if the waves taking everybody down, I want to be on the top of the wave. And if you will measure our company comparing to similar companies, we went down less than 75% of them. But it still takes us down below the cash, which is unique, which creates an opportunity. And there's people will see problem in opportunity and our people will see opportunity in the problem. I believe here is an opportunity in the problem.
Unidentified Analyst: I agree. Anyway, looking forward, I'm looking forward to the next quarter and next quarter. Hopefully, things will grow and prop away. 
Operator: The next question comes from [Michael Eisner].
Unidentified Analyst: When you think you'd be able to begin buyback?
Yoav Stern: Sorry, say it again, you got disconnect just for a second.
Unidentified Analyst: When do you think you'll be able to begin the buyback of shares?
Yoav Stern: Once we get the approval of the court in Israel.
Unidentified Analyst: Well, do you have any idea how long that takes?
Yoav Stern: No.
Unidentified Analyst: All right, if you don't know, you don't know. I would not get into crypto. We're not a crypto company. If you want to buy -- if someone wants to buy crypto, they could buy it. But not with my money.
Yoav Stern: Yes. I agree 100%, sir.
Operator: There are no further questions at this time. Mr. Stern, would you like to make your concluding statement?
Yoav Stern: Yes. It's now 53 minutes. So I'm sure people need to go work, the market is open. So thank you very, very much, ladies and gentlemen, for participating. I've been talking with investors offline, which means not on these calls, over the last -- since the market is going down a lot, and I invite you to ThinkEquity or through directly, probably through ThinkEquity, which is bankers to find a way to speak with us. I'm always available, and I'm spending time both in each continent now, and I look forward to connect with you as soon as possible. And thank you very much for your support.
Yael Sandler: Thank you.
Operator: This concludes the Nano Dimension 2022 First Quarter Financial Results Call. Thank you for your participation. You may go ahead and disconnect.